Operator: Good morning and welcome to the Lexington Realty Trust Second Quarter 2010 Earnings Conference Call. Today’s call is being recorded. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. It is now my pleasure to turn the call over to your host Lexington’s Chief Executive Officer Mr. Will Eglin, please go ahead.
Will Eglin: Thank you and welcome to the Lexington Realty Trust second quarter conference call. The earnings press release was distributed over the wire this morning and the release and supplemental disclosure package will be furnished on a Form 8-K. In the press release and supplemental disclosure package, Lexington has reconciled all historical non-GAAP financial measures to the most directly comparable GAAP measure in accordance with the Reg G requirements. If you did not receive a copy, these documents are available on Lexington’s website at www.lxp.com in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in the same section. At this time, we would like me to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning the of the Private Securities Litigation Reform Act of 1995. Although Lexington believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, Lexington can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time to time in Lexington’s filings with the SEC. Lexington does not undertake a duty to update any forward-looking statements. Joining me today from management are my long time partners Robert Roskind our Chairman; and Patrick Carroll our Chief Financial Officer; and other members of management. And now I’d like to begin by discussing our operating results. Lexington generated good results in its real estate portfolio for the second quarter of 2010. we executed well in all of our key areas include leasing, capital recyclings or dispositions and refinancing, balance sheet managements and operating efficiency. For the quarter, reported funds from operations were $0.23 per share after adjusting for a few charges as detailed in the earnings release. We ended the quarter with $130.6 million of cash which was a strongish cash position in September 2008. In the second quarter, we continue to monetize assets and execute on our capital recycling initiative. Total disposition activity for the quarter was approximately $39.4 million at a weighted average cap rate of 8.3% and this includes the effective disposition of our leasehold interest in Salt Lake City that we have fully monetized in a previously announced credit apparently its financing. Our strategy is to continue with our capital recycling effort by selling non-core properties particularly on multi-tenant properties in order to create additional liquidity and focus on portfolio strategy on our core single-tenant offers in industrial property. So far in the third quarter, we have sold three unencumbered multi-tenant office properties for $69.7 million at an annualized cap rate of 0.6% bringing our disposition volume for the year to $149 million at a cap rate of 4.7%. Given the success of the program and strong values we have generated in the sales process, we will be marketing additional properties for the sale over the balance of the year. And we believe that by on the [x] reporting period we will have reached 190 million dispositions, the low end of our current guidance and expect at that time to get out to review the upper end of the range which is currently $225 million. However, these expectations are dependant on many factors beyond our control. On the financing front, during the second quarter Lexington closed the mortgage financing at $9 million at a fixed rate of 5.5% with a five-year maturity, secured by the Canal Insurance property that we brought at the end of last year. In addition, and as I just discussed, we monetized the remaining stream of lease payments on our Salt Lake City, Utah leasehold interest in an 18- year credit in a lease financing at a 5.53% interest rate raising $37 million which equates to a cap rate of about 8.8%. As mentioned last quarter, we have been in the market which request the financing on properties with mortgage debt maturing this year and we received a variety of attractive [quotes] to refinance these and other properties on a cross collateralized basis rather than encumber our assets now which is debt refinancing, we plan to retire maturing mortgages with cash and sales proceed. Accordingly, in July we retired $29.8 million mortgage debt which would have matured later this year. Overall, our financial flexibility gets continue to increase, we’ve improved to our liquidity and we have a $175 million of available credit line capacity after adding a new bank to our lending syndicate during the quarter. From an operating perspective, our general and administrative cost decreased about 21% compared to second quarter last year and we continue to execute on opportunities to make our operations more efficient. On the leasing front we had another strong quarter with 17 new and extended leases executed for 1 million square feet while leases for 330,000 square feet expired and were not renewed. During the second quarter, cash rent decreased by 3.3% and GAAP rent decreased by 2.5% on renewals, this is directly attributable to the expansion of the lease in the Salt Lake City, Utah property that allowed us to monetize the assets in the credit kind of lease financing previously discussed. After this lease, renewal rents would have been essentially flat. We encourage you to review our roll over schedule in our supplemental disclosure package which shows that at quarter end we have just 0.1% of rental revenue expiring in the remainder 2010 and our single tenant portfolio and 5.7% in 2011. We haven’t had any material lease default and credit quality has held up well despite of continuing economic uncertainty. Portfolio occupancy at quarter-end was 91.5% which continues to be healthy and we expect overall occupancy for the portfolio to improve later this year as a result of the sale of some vacant properties. It's true that we continue to be in a challenging leasing environment but we are currently negotiating new leases and extensions which total approximately 1.38 million square feet. In our portfolio we currently have or expect to have about 3.6 million square feet of space available for lease this year, but we expect vacancy to be reduced by the sale of vacant properties totaling 650,000 to 1 million square feet and the expectation of new and renewal leases totaling 400,000 to 600,000 square feet. And as a result, we are currently forecasting that our 2010 occupancy at year-end will be between 93% and 95%. Next year, we have about 2.6 million square feet of space getting to expire and our current forecast is that we expect to lease about 1.9 million feet. We continue to work very diligently on new investments and currently we have two transactions totaling about $50 million under contract in our investment pipeline. Each of these is built to suit project but we expect to contribute to our financial results next year and we believe these are very attractive opportunities for us, given that they are long term net leases at an average going in cap rate of above 9% and this equates to between 10% and 11.4% on a GAAP basis. We expect to finance our acquisition pipeline with mortgage financings and proceeds from our capital recycling program and each of these transactions being acquired at a cap rate that is accretive relative to the cap rate at which we have been selling our properties for. Now I'll turn the call over to Pat who will take you through our results in more detail.
Patrick Carroll: Thanks Will. During the quarter, Lexington had gross revenues of $86.1 million, comprised primarily of lease trends and tenant reimbursement. The decrease in the second quarter 2010 revenue compared with the second quarter 2009 relates primarily to the decrease in occupancy of 100 Light Street and in our Orlando property. Under GAAP, we are required to recognize revenue on a straight line basis over the non-cancelable lease term with any periods covered by a bargain renewal option. In addition, the amortizations of above and below market leases are included directly in rental revenue. In the quarter, GAAP rents were in excess of cash rents by about $4.9 million, including the effect of above and below market leases. We have also included on page 41 in the supplement, our estimate of both cash and GAAP rents for the remainder of 2010 through 2014. In the quarter we recorded a $1.6 million non-cash charge related to our forward equity commitment and put into in 2008 as a result of the change in our share price from March 31 to June 30. We also recorded $26 million in impairment charges included in discontinued operations, primarily relating to properties disposed off and investments written down to estimated fair value.  On page 39 of the supplement, we have disclosed selected income statement data for our consolidated, but non-wholly owned properties and our joint venture real estate investments. Our G&A decreased 1.3 million in the second quarter compared with the second quarter of 2009. The primary drivers for this decrease are lower professional fees and personnel cost. Now looking at the balance sheet. Our balance sheet is strong and we continue to increase our financial flexibility. We had $130.6 million of cash at quarter-end, including cash classified as restricted. Restricted cash balances relate to monies held with lenders as escrow deposits on mortgages.  At quarter-end, we had about $2 billion of debt outstanding, which had a weighted average interest rate of about 5.8%. Included in intangibles is the allocation of the purchase price of properties related to in-place and above market leases and customer relationships in accordance with GAAP. Also, we have got a $101 million in below market lease liabilities.  The significant components of other assets and liabilities are included on page 40 of the supplement. During the quarter ended June 30, 2010, the company capitalized $1.1 million in lease costs, $2.8 million in TI costs and $7.7 million in capital improvements, including $2.8 million spent at 100 Light Street.  On pages 29 to 33 of the supplement, we disclose the details of all consolidated mortgages maturing through 2014.  Now I would like to turn the call back over to Will. 
Will Eglin : Thanks Pat. In summary, this was a good quarter for Lexington on every level and we are pleased with our progress and the investment opportunities we are uncovering. Occupancy held up well, leasing continues to be consistent with our expectations, our balance sheet and debt maturity profile are significantly improved, and we have been able to source several investment opportunities that we believe are very attractive. That being said, we continue to have a high degree of success in selling properties and unlocking significant value that we do not believe is reflected in our share price. Sales continue to be a great value proposition for shareholders and we are accelerating on properties sales efforts accordingly. Operator, I have no further comments at this time, so we are ready for you to conduct the question-and-answer portion of the call.
Operator: (Operators Instructions) And we will take our first question from Steve Swett with Morgan Keegan.
Steve Swett - Morgan Keegan: Thanks so much. Hey guys. Well, under [built-to-suite] opportunities in addition to the two, you mentioned that we’re under contract, is there a pipeline behind that of transactions you are looking at as well.
Patrick Carroll:  Yes, there is two others that we totaled about $60 million Steve, that we continue to work on and they just haven’t made at the contract status but one of those as we mentioned on the last call and there has been one other transaction that we think we to put under contract. (Inaudible) our similar pricing to the ones that we have under contract.
Steve Swett - Morgan Keegan: Okay. And then as you look at the dispositions into the second half, obviously you have got three types of asset some high occupancy and high yield, some lower occupancy and lower yields. Can u give a sense of what the mix of those assets is in the second half still?
Will Eglin :  Yes, I would say that its pretty well balanced and to be honest we are taking a little bit longer to process some sales or on some vacancies where we have mortgages that needs to be assumed. That’s a little bit of more of a time consuming process then we thought, so, I would say that the balance is probably pretty evenly mixed between the properties that have fairly decent occupancy and (Inaudible).
Steve Swett - Morgan Keegan: Okay. And then last question Pat, you have got the high cash balances today given the timing of the loan maturities and just editions coming. How do you think that’s cash balance tracks in the second half year?
Patrick Carroll: You know it still will depends on the timing of the investments and to pay off the mortgages, I’d say right now we had I guess we had $100 million cash on the books at quarter and bust to $30 million were restricted. Right now after the sales and paying our dividend our backups are around $95 million. So I know we are still running with the pretty solid cash balance, the mortgages we are showing the rest of the year. That will take them about in cash. So that’ll lead into it. So right now it’s still a pretty healthy cash balance.
Operator: Our next question comes from Anthony Paolone with JPMorgan.
Anthony Paolone - JPMorgan: Thank you, can we talk about these builder suites and where they coming from you did a couple in industrial and then I don’t know what property type that couple that you have [teed] up. We’re just wondering if this coming from a common source or you’ve got after the market and said that these are the kinds of things you’d rather see which has happened to be playing out this way. 
Will Eglin: Well the two properties under contract are industrial and the two others that we’re working on are also industrial, Tony. So, we think there is an opportunity for us in the forward markets because there’s inefficient pricing so we think we can get a pretty nice deal premium, so we have been focusing on that part of our franchise if you will to uncover investment opportunities. The two properties we have under contract are with builders that we’ve done business with before. So those are direct transactions and we think there’s some value add by repeat business with builders that we’ve worked with before.
Anthony Paolone - JPMorgan: Due you think there is a lot more of this stuff out there behind all of this with these folks.
Will Eglin : Hard to say, we are happy with what we’ve got, I don’t we are at the point where we are ready to predict that there is much more volume. It’s still fairly slow out there for a new construction standpoint. So we have to take it as it comes and make sure that we are emphasizing quality versus stretching for volume.
Anthony Paolone - JPMorgan: Can you just update on 100 Light Street and what you are seeing there?
Will Eglin: We are seeing very strong candidate interest in terms of numbers showing et cetera and I’d be surprised if we couldn’t report more leasing progress there prior to year end.
Anthony Paolone - JPMorgan: And last question, do you have kind of improvement in leasing commissions and maintenance CapEx for second half of the year and thoughts on what those might look like?
Patrick Carroll : I think over the second half we’ll probably spend about $9 million.
Operator: And we will move on from Stifel we have John Guinee.
John Guinee - Stifel Nicolaus: I would like to get little miscellaneous question first on your Salt Lake City deal. Is that still on the balance sheet in any way shape or form?
Patrick Carroll : Yes, John it does stay in the balance sheet.
John Guinee - Stifel Nicolaus: From where is it although?
Will Eglin: It's where it always was. It's in real estate and the mortgage is included in mortgages payable. We've recognized rent on it and we recognized interest expense on them, we recognized depreciation, so there realty is no change. It's just like putting the mortgage on a property, although we completely monetize our value.
John Guinee - Stifel Nicolaus: Okay. So you have no economic interest anymore but you're going to continue to show it on the balance sheet.
Will Eglin: At least $37 million are cash and no economic value going forward from either residual or the rent stream itself. We had discussions with our auditors and they came down and said, you can't take it off the balance sheet because you didn’t sell it. And that’s what they said.
John Guinee - Stifel Nicolaus: What asset did you sell in the third quarter, $70 million? I think it was three, mostly vacant office buildings?
Will Eglin: Well, occupancy for the three on a blended basis was about 67%. The big sale was 255 California Street and San Francisco, and then we sold another property in Irvine, California and another outside Dallas.
John Guinee - Stifel Nicolaus: Okay.
Will Eglin: None of those properties were in the [barring base] supporting our lines. They didn’t have any debt. So we freed up a lot of unrestricted liquidity from those sales.
John Guinee - Stifel Nicolaus: Okay. On the acquisition side, it looks like you, if we're doing the math right, are paying about $35 a foot in Shelby, North Carolina, but $53 a foot somewhere in Mississippi. Can you kind of talk through, if those numbers are correct, and why one building would be about $35 a square and the other would be $53 a square, both of which seem to be somewhere in the Southeast?
Will Eglin: Yes, the ASICS building outside Memphis is higher or clear high and has just a higher level of finish and a stronger frame to support overhead racking. And that’s really the difference in the costs.
John Guinee - Stifel Nicolaus:  Okay. You have on sources and uses perspective, as I recall you have a preferred equity loan for lack of a better term to the inland joint venture? When is that, how much is it, when is it due and where does it show up on the balance sheet? 
Will Eglin:  It’s about $180 million, John, and it doesn’t show up at its full face amount on the balance sheet because we had, a lot of those assets were contributed to the ventures that were carryover basis. So, on our balance sheet we currently show $50 million, about $50 million as investments in joint venture. That joint venture has a buy-sell in 2012 and after mortgage debt are preferred we come out next to the senior position and as long as the properties can be sold today with roughly an 11 cap in in-place rents. We'd have roughly $180 million of cash coming back because of the carryover basis isn’t reflected in that amount on balance sheet.
John Guinee - Stifel Nicolaus:  Doing payable in 2012 is roughly $180 million, and that’s free cash flow.
Will Eglin:  Yes, I think its close to about $170 million from a preferred standpoint and then we do have an unpaid 9% return on our common investment that would come out after that which would bump the $170 million up. We think by 2012, its probably $180 million cash up for us.
John Guinee - Stifel Nicolaus:  Okay. Are you booking in the 9% on your common?
Patrick Carroll:  Well, the way it works is, the answer is yes, John, under GAAP you got the like a hypothetical liquidation book value method, so we do pick up. Its calculated as if what you get if you liquidated every quarter. I would say yes, we are picking that up.
Will Eglin: And that’s coming in equity and earnings of unconsolidated JVs. that should ride in it, and it increased the investment update on that, that’s correct.
John Guinee - Stifel Nicolaus: On the equity and earnings unconsolidated JVs looks like it was about $5.2 million last quarter or about $5.4 million this quarter. Is that a good run rate?
Will Eglin: Yes I would say so.
John Guinee - Stifel Nicolaus: Okay. And then so lastly you guys have a very a slight maturity schedule for 2012. I guess there's one exception that looks like both the Wells and the Owens Corning, renewal for 2010 was just one year. They are expected to vacate in 2011?
Will Eglin: I think wells will be out. That property is in the joint venture. We don’t own all of that one. Owen Corning has been renewing from year-to-year for a while, so I don’t necessarily think that that’s move out.
John Guinee - Stifel Nicolaus: Okay. Can you just look at your page 14 and then page 17 of your lease rollover schedule and just tell us maybe in 12 and 13 if there are any major leases where the tenants aren’t occupying now, which we could pretty much assume would go dark at least expiration.
Will Eglin: I think looking at 12, certainly the building leased to principle life. Des Moines I think will probably be an empty one. But beyond that it’s in the Hartford Fire Insurance Company that expires at the end of the ’12 in the office area I would characterize those two as no move out. On the industrial side, CEVA Logistics is a big one.
Patrick Carroll: I don’t feel like we have any known move out there at this time.
John Guinee - Stifel Nicolaus: And then can you just quickly what’s within the $26 million of impairment charges, which assets were those?
Patrick Carroll: The main one John was the property that was sold in the third quarter, the office building in Irvine that was about $18 million of it. Rest of it is two relatively small retail properties whether they can be quick about $4 million on and then we took also about $3.7 charge on a note receivable that we had from a property that we sold previously 2004 I believe that is first mortgage on a property at [Oregon] leased to Hollywood Entertainment is obviously liquidating and just as we have to note down, what we can think we can sell before they can.
John Guinee - Stifel Nicolaus: And then lastly will you run through your second quarter capitalized numbers again we missed them.
Patrick Carroll: Yes from a lease cost we capitalized $1.1 million, CI $2.8 million and capital improvements of property was $7.7 million and $2.8 million of that $7.7 million was Light Street.
John Guinee - Stifel Nicolaus: Anything I forgot to ask.
Patrick Carroll: That’s what I can think of, John. You are your usual thorough self. Thank you.
Operator: (Operator Instructions) That concludes the question-and-answer session today. At this time Mr. Eglin, I will turn the conference back over to you for any additional or closing remarks.
Wilson Eglin: Thank you again for joining us this morning. We are very excited about our prospects for 2010 and beyond and as always we appreciate your participation and support. If you would like to receive our quarterly supplemental package, please contact Ashley Fillmore or you can find additional information on our company on our website, www.lxp.com. In addition, as always, you may contact me or the other members of senior management with any questions. Thank you.
Operator: Once again ladies and gentlemen, that does conclude today’s conference. Thank you for your participation.